Lila: My name is Lila, and I will be your conference operator today. At this time, I would like to welcome everyone to the Helix Energy Solutions Fourth Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. Thank you. Please be advised that today's conference is being recorded. I would now like to turn the conference over to Brent Arriaga, Vice President, Finance and Accounting. Please go ahead, sir.
Brent Arriaga: Good morning, everyone, and thanks for joining us today on our conference call where we will be reviewing our fourth quarter and full year 2024 earnings release. Participating on this call for Helix today are Owen Kratz, our CEO, Scotty Sparks, our COO, Erik Staffeldt, our CFO, Ken Neikirk, our general counsel, Daniel Stewart, our vice president, commercial, and myself. Hopefully, you've had an opportunity to review our press release and the related slide presentation released last night. If you do not have a copy of these materials, both can be accessed through the Investor Relations page on our website at www.helixesg.com. The press release and slides can be accessed under the news and events tab. Before we begin our prepared remarks, Ken Neikirk will make a statement regarding forward-looking information. Ken?
Ken Neikirk: During this conference call, we anticipate making certain projections and forward-looking statements based on our current expectations and assumptions as of today. Forward-looking statements may include projections and estimates of future events, business or industry trends, business or financial results. Statements in this conference call and in the associated presentation other than statements of historical fact are forward-looking statements and are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual future results may differ materially from our projections and forward-looking statements due to a number and variety of risks, uncertainties, assumptions, and factors, including those set forth in slide two of our presentation, and our most recently filed annual report on form 10-K, our quarterly reports on form 10-Q, and in our other filings with the SEC. You should not place undue reliance on forward-looking statements, and we do not undertake any duty to update any forward-looking statement. We disclaim any written or oral statements made by any third party regarding the subject matter of this conference call. Also during this call, certain non-GAAP financial disclosures may be made. In accordance with SEC rules, the final slides of our presentation provide reconciliations of certain non-GAAP measures to comparable GAAP financial measures. These reconciliations along with this presentation, the earnings press release, our annual report on Form 10-K, and a replay of this broadcast will be available under the For the Investors section of our website www.helixesg.com. Please remember that information on this conference call speaks only as of today, February 25, 2025, and therefore, you are advised that any time-sensitive information may no longer be accurate as of any replay of this call. Scotty?
Scotty Sparks: Thanks, Ken. Good morning, everyone. Thank you for joining our call today, and we hope everybody is doing well. This morning, we will review our fourth quarter and full year 2024 results. Financial performance and operations, will provide our view of the current market and provide guidance for 2025. Before starting our review, I would like to thank the Helix team for their efforts during 2024. The team's offshore and onshore outperformed again, producing another very well-executed quarter. Closing the year out very well. With our efforts in 2024, we establish a solid foundation to deliver improved results in 2025 and beyond. Moving on to the presentation. Slides five, six, and seven provide a high-level summary of our results and key highlights for the fourth quarter and full year. Revenues for the quarter were $355 million, with a gross profit of $59 million resulting in net income of $20 million. Adjusted EBITDA was $72 million for the quarter, and we had positive operating cash flows of $78 million, resulting in strong free cash flow of $65 million. Our cash and liquidity remain strong with cash and cash equivalents of $368 million and liquidity of $430 million. Highlights for the quarter include commencement of operations on the Q4000 in Nigeria, a six-month contract plus options, continued strong results in robotics with high trenching utilization, completed operations with the Q7000 in Northwest Australia, commenced paid transit and mobilization to Brazil for a 400-day contract options with Shell. The same Helix one transitions to the Trident contract extension at higher rates. And the Helix Producer one contract was renewed to June of 2026. Slide seven provides detail of our full year 2024 results and highlights. Our full year revenues were $1.36 billion, with a gross profit of $220 million, with a resulting net income of $56 million. Adjusted EBITDA for the year was $303 million, a greater than 10% improvement over last year. And we had positive operating cash flows of $186 million resulting in positive free cash flow of $163 million. Excluding the alliance earn-up paid and included in our operating cash flows during the year, our free cash flow would have exceeded $220 million. These key financial metrics are all improved over our 2023 results. Recapping some of the key highlights for 2024, strong results and significant improvement in well intervention year over year, as we safely completed the transits and commenced operations on the Q4000 in Nigeria, concluded successful operations with the Q7000 in Australia, including the successful initial deployment of the Rome. Had a strong near full year utilization on the Q5000 in the US Gulf. Strong robotics results have increased trenching activity and significant improvements year over year. On the sales front, we completed we entered into a one-year contract extension for the SH1 with Trident that commenced in Q4 of 2024. Executed two new three-year contracts with Petrobras, one that commenced last month for the SH2, and the others to commence in the second half of 2025 for the SH1. We also executed a contract for two years plus options in the US Gulf for the Q5000 with a minimum commitment of 175 days each year. Slide nine provides a more detailed review of our segment results and segment utilization. In the fourth quarter, we continued to operate globally, with minimal operational disruption with operations in Europe, Asia Pacific, Brazil, Africa, the US Gulf, and the US East Coast. Our strong fourth quarter results were driven by our core well intervention markets globally. Moving to slide ten. Slide ten provides further detail of our well intervention segment. In Q4, we achieved strong utilization in Africa, the US Gulf, Brazil, and Australia. Performing very well with solid uptime efficiency. As expected, our North Sea vessels, the Well Enhancer and Seawell, were impacted by the winter season slowdown, resulting in lower utilization and both vessels being warm stacked mid-quarter. The Q7000 performed extremely well with 99% utilization working in Australia. The vessel then commenced paid transit to Brazil for the Shell 400-day plus options decommission. We had solid utilization for both US-based units with the Q4000 completing the paid transit to Nigeria, commencing operations for the SO minimum six-month oil campaign. And the Q5000 worked the entire quarter for Shell in the US Gulf. Again, we are very pleased with the recently announced long-term contract for both the C and PUDEX vessels for Petrobras Q7000 per Shell in Brazil and the Q5000 per Shell in the US Gulf Coast as these provide us with strong contract coverage for multiple years. Slide eleven provides further detail for our robotics business. Robotics had a very strong quarter business performed at high standards, operating six vessels during the quarter, working between trenching, ROV support, and site survey work on renewables and oil and gas-related projects globally. Five of the vessels worked on renewables-related projects within the quarter. All vessels had strong utilization with three vessels working on trenching projects. The GC3 and the North Sea Enabler Trenching in Europe and the Centopez trench in Taiwan prior to being demobilized in Singapore in December. The Shire Leader along worked on various renewable-related projects on the US East Coast. And the GC2 had strong utilization working in oil and gas ROV support in Malaysia. Our renewables and trenching outlook remains very robust with numerous contracted works in 2025, 2026, and 2027. The long-term outlook for the global renewables market is very strong. We recently announced one of our largest renewables trenching contracts to date, for over 300 days trenching, commenced in late 2026 on the Horned Sea Free Wind Farm in the UK. Robotics is performing very well, had a very strong 2024, and we expect them to have a very strong year in 2025. Slide twelve provides detail of our shallow water abandonment business. Q4 activity levels reflect the expected seasonal slowdown in utilization and the overall activity levels were reflective of a weak 2024 US Gulf Coast shelf market. In summary, we had another very strong quarter and a very well-executed 2024 with one of our best years regarding safety statistics, NPT, year-over-year improved financial metrics, and numerous long-term improved contracts secured for a good portion of our assets. We're excited as we enter into 2025 as we're expecting further contract awards, high utilization for most of our assets, and once again further improved financial performance. I would like to thank our employees for their efforts, securing a strong backlog delivering us a high level of execution. And I'll turn the call over to Brent.
Brent Arriaga: Thanks, Scotty. Moving to Slide fourteen, it outlines our debt instruments and key balance sheet metrics as of December 31. At year-end, we had cash of $368 million and availability under the ABL of $67 million with resulting liquidity of $430 million. Our funded debt was $324 million, and we had negative net debt of $53 million at year-end. Our balance sheet is strong and is expected to strengthen further as we anticipate generating significant free cash and have minimal debt obligations between now and 2029. I'll now turn the call over to Erik for a discussion on our outlook for 2025.
Erik Staffeldt: Thanks, Brent. We entered 2025 with several macro headline challenges. Active geopolitical environment. Softer rig market in 2025 with white space, and uncertainty in the U.S. Wind farm market with announced moratorium. We are aware of these challenges and the uncertainties they create. Despite these challenges, our outlook remains very positive. The offshore market remains constructive and active, oil and gas spending remains healthy despite being at lower levels. The global renewables market is robust with increasing activity in Europe and Asia Pacific. The long-term outlook for both markets remains very positive. Our positive outlook is supported by the term contract signed in 2024 for several of our key well intervention assets. The offshore market has improved significantly over the past three years, and although lagging the market, we're now seeing the benefits as our legacy contracts have rolled off. With an improved outlook for 2025, based on the strength of our contracted work and the pipeline of bids and projects, we're providing guidance of certain key financial metrics for our 2025 forecast. Revenue of $1.36 billion to $1.5 billion revenue increasing slightly over 2024 with expected improved margins. EBITDA is $320 million to $380 million. Dollars increases driven by the term contracts at market rates. Free cash flow $175 million to $225 million strong free cash flow generation with variability driven by capital spend of $70 to $90 million. This includes $30 million approved for 2024 that shifted to the right into 2025. Our 2025 spending plans are primarily a mix of regulatory maintenance on our vessels, intervention system, and fleet renewal of our robotics ROVs. These ranges include some key assumptions and estimates. Any significant variation from these key assumptions and estimates could cause our results to fall outside the ranges provided. Our quarterly results will continue to be impacted by seasonal weather in the North Sea and the U.S. Gulf Shelf. Primarily in the first quarter but to some extent, the fourth quarter as well. In addition, the timing of our vessel maintenance periods and project mobilizations will cause variances between quarters. Our quarterly financial performance in 2025 is expected to follow the same cadence as our results in 2023 and 2024, with the second and third quarter being our most active quarters and the first and fourth quarters impacted by winter weather. With seasonal quarterly impacts and capital spending expected to be front-loaded, the timing of our free cash flow generation is likely skewed to the latter part of the year. Providing our key assumptions by segments and region starting on slide seventeen, first, our well intervention segment. The US Gulf Coast continues to be a good market. The Q5000 has contracted work in every quarter with limited white space to fill in the schedule. Q4000 is contracted to work into Q2 in West Africa, and then is expected to return to US Gulf in the second half of 2025. Expect both vessels to have good utilization this year. The UK North Sea well in the rental market is expected to be weaker in 2025 than last year. News releases last quarter both from regulators and customers highlight various challenges in the UK sector. The increased taxes announced late in the year and subsequent announcements by producers had delayed planning for 2025 and created uncertainty in the market. We are therefore forecasting utilization in the North Sea this year to decrease compared to 2024. The Well Enhancer or Seawell should have good utilization in the second and third quarter. But an overall slow start to 2025. The Seawell completed its regulatory docking during Q1, as in 2024, we anticipate a seasonal utilization in the fourth quarter winter months in the North Sea. The Q7000 is currently in Brazil completing its regulatory docking and project mobilization for Shell. The vessel is expected to commence the firm 400-day project in late March. The CM2 commenced its new contract with Petrobras in early January. This is a three-year contract at market rates. The CMP Helix one is contracted performing well abandonment for Trident with work extending into the second half of 2025 followed by a three-year contract with Petrobras. The vessel is expected to have an approximate thirty-day off-hire period between contracts. Moving to our robotics segment. The market continues to be very positive. We recently announced a significant trenching contract in the North Sea. Bidding activity has been and continues to be extremely active. We are benefiting from the high levels of activity in both oil and gas market and the renewables market. In the APAC region, the Grand Canyon two completed its dry dock in Q1 has multiple contracts and high utilization expected for the balance of 2025. With the completion of its project in the fourth quarter, the Centimeters Topaz was demobilized and returned. The T1400 one trencher is expected to work on client-provided vessel and remain in Taiwan through 2025. The North Sea, the Grand Canyon three is expected to have an active trenching season with overall strong utilization. Horizon Enabler has contracted trenching projects in Q3 and Q4. The Glowmar Wave is forecasted to have good utilization performing site clearance operations. The TRIM flight clearance vessel is expected to begin operations in March and have good utilization through Q3. And the T1400-2 trencher is forecasted for first work in the Mediterranean. In the US, the Shalea is completing a dry docking Q1, after which she's expected to have good utilization with the combination of work in the US Gulf Coast and US East Coast. Moving to production facilities, the HP one is on contract for the balance of 2025, recently extended to June 2026 with no currently expected change. We have expected variability with production as Droshky field continues to deplete and Thunderhawk field is still shut in. Continuing to shallow water abandonment. Our shallow water abandonment segment will have seasonal variability with greater impacts during Q1 and Q4. We are reducing our cost structure commensurate with the current market but are retaining the ability to scale up if the market improves. We expect the market to be largely better absent any regulatory developments. We expect the marine offshore business to maintain good utilization on five to seven lift boats, with some variable seasonality on the OSVs and crew boats. The energy service should have good utilization for six to nine P and A spreads and one to two cold tubing units. There is seasonality in the diving and heavy lift where the EPOKE joint is currently idle with limited winter opportunities. We do expect an active season during Q2 and Q3. Moving to slide eighteen, our CapEx forecast for 2025 is heavily impacted by dry docks and maintenance periods on our vessels and systems, the Seawell completed its drydock in Q1. The Q7 is currently undergoing a thirty to forty-five day docking period followed by the project mobilization. The Q5000 has a thirty-plus days docking scheduled in the second quarter. Our CapEx range currently is $70 million to $90 million, which includes amounts of approximately $30 million originally forecasted in 2024 that were moved into 2025. Once again, the majority of our CapEx continues to be maintenance and project-related, which primarily falls into our operating cash flow. Reviewing our balance sheet, our funded debt of $324 million is expected to decrease by $9 million in 2025 with scheduled principal payments on our Merit debt. We expect to continue our share repurchase program with a target repurchases of at least 25% of free cash flow. At this time, I'll turn the call back to Owen for a discussion on our capital allocation framework, our outlook for 2025 and beyond, for closing comments. Owen?
Owen Kratz: Thanks, Erik. Good morning. 2024 was a strong year for Helix delivering the results that were expected. We feel very good about where we are and confident as we look forward. There's a lot of wind at our back. We're also aware of our market headline challenges, and we believe we can address them to mitigate the impact and potentially generate upside. The broader industry is starting to recognize the coming value of the late-life market niches for oil and gas and Helix's prominent position. Starting with Pepsi intervention, which entails maximizing remaining reserves and abandonment. Intervention will be key to extending the life of fields. And there will be more and more abandonment as the fields mature. Intervention is also the lowest cost way to produce incremental barrels. We do expect a slower year for the UK section, but the North Sea, but we also recognize the extent of opportunity both in extending the life of the fields and we expect abandonment to increase. There are approximately 2,250 wells in the North Sea, and the industry average for P and A of wells is plus or minus fifty per year. We expect this work to increase for 2026 and beyond. And the rest of the world, we do not have the capacity to meet all the demand we're seeing. And there are up and coming regions of the world we've not yet grown into. We currently do not have plans to add capacity in well intervention and instead plan to take advantage of a tight market to achieve higher margins. We're well positioned for any potential softening of the market as the majority of our major assets are on multiyear contracts. And that's strong current demand and global flexibility to penetrate new regions for our services. Turning to robotics, we see demand continuing to grow, visibility for growth, growing trenching demand has us tendering for work as far out as 2029. Expect that we'll need an additional trencher and are currently assessing our options for the effective way to add capacity. We've been very successful at establishing our credibility in site clearance work for the wind farms, both in Boulder clearance and UXO work. We have plans to add an additional site clearance spread for 2025. And are looking to add other adjacent services going forward. Part of our maintenance CapEx spending is on refurbishment of our world-class ROV fleet of vehicles. We have two more years to complete the upgrade of the entire fleet, which should extend the life of the fleet for years to come. Our robotics segment overall is forecasted to be relatively flat in 2025, with meaningful growth expected thereafter. Shallow water abandonment in the Gulf of Mexico is expected to experience a soft market again in 2025, as the recipients of boomerang properties from bankruptcies continued to analyze and plan for their abandonment work. We erroneously maintain the cost basis for a larger market that did not materialize in 2024. With our cost structure now rightsized for the current market, we expect to see meaningful improvement in profitability for 2025 while maintaining operational leverage for further growth beyond. Our production facility segment is pretty much status quo. The HP one contract continues. The Drozky field continues to produce beyond its expected life. The Thunderhawk field remains shut in until we can schedule an intervention. With our current contract commitments, we don't have the availability in. We've not included anything for production out of Thunderhawk for 2025, but it remains as upside for 2026. Turning to our capital allocation framework. The markets have been robust the past few years with capital discipline shown by the industry players. This has resulted in asset valuations that are currently high. While we expect to generate strong free cash flow and increase our war chest of cash, we've kept our powder dry. We will be watching the markets for attractive opportunities to deploy capital. Until we see that opportunity, we plan to restrict capital allocation for assets to our current niches. Where we can see full cycle accretion and bolstering of our market positions. In line with this strategy, we intend to become more active with our approved share repurchase plan. We still have more than $150 million of approved approval under the plan. Starting this year, it's our intention to allocate a minimum of 25% of free cash flow to repurchase of our shares. We're confident in the future and at the current share price, we see a great opportunity to return value to our shareholders. If M and A materializes then expect 25% of free cash flow. And if not, then more than 25%. We're confident in the future for Helix with inherent growth operating leverage as well as opportunity in the capacity to service them going forward. Erik?
Erik Staffeldt: Owen. Operator, at this time, we'll take any questions.
Operator: At this time, I would like to remind everyone in order to ask a question, press star then the number one on your telephone keypad. Your first question comes from the line Jim Rollyson with Raymond James. Please go ahead.
Jim Rollyson: Hey. Good morning, everyone. Oh, and you kind of covered this a little bit, but kind of back to the free cash flow, you know, simple math is if you spend the fifty million at the midpoint of unrepurchases, you're still going to probably end the year with kind of half a billion or so of cash. When you think about M and A, you mentioned inflated asset prices, at least in the oilfield side. Maybe just a little color around, you know, what what are you thinking? What type of assets would be in your your your target, and is it just today just a valuation issue, relative valuation issue that that that keeps you from being active. Guess.
Owen Kratz: Well, Jim, I think there's a high probability that you will see us be active in M and A this year. The areas of opportunity that I see are geographic oriented and also the wind market has seen some major pullback of valuations. And, I think longer term, it's a substantial long-term growth market. So that would be another area. Further out in the future, I mean, right now, vessel prices are way too high. I don't think that we need more floating tonnage or large capital assets like that, but we do charter quite a few vessels. And in the wind market and robotics, we always work a core number of vessels. Right now, the vessel prices, as I've said, are way too high. But there are just recent months, there's a lot of new orders going in for new builds, which means that the existing tonnage will probably rationalize and value. I don't see that as an immediate allocation of capital, but I think it's something to watch for the future.
Jim Rollyson: Got it. Appreciate that. And then you talked a bit about it seems like every several earnings calls this earning season well intervention has come up and you mentioned a market being kind of structurally short. Assets there. Which is which is obviously beneficial from the pricing perspective. At the moment, you guys are pretty well booked up from from your contracting last year at higher rates. How do you think about where you know, how is pricing trending more recently to the extent you've even made contract trying to to book any work on the spot side of things. And how do you take advantage of that over the next, you know, three or four years given your fleet is somewhat locked up in the short run?
Scotty Sparks: I'll take that, Jim. So, firstly, a good portion of the assets are on long-term contracts, but they're taken off the legacy contracts and put on to good market rates, so we're gonna see an improvement there. On the spot side, we are still increasing rates, not as rapidly as we have done in the last two years, but there's still a slight increase in rates. And as the market continues to tighten, we'll assess that and adjust as we go forward. So we're still bidding slightly higher than we did last year, but it's not as advanced and as rapid as it was, you know, through the last two years where we almost doubled rates in in certain geographical regions. On the robotic side, ROVs, vessels, and trenching rates are certainly increasing. We're seeing activity out to 2029 and certainly pumping up rates on the trenching side and the ROV side.
Jim Rollyson: Helpful color. Appreciate it. I'll turn it back. Thank you.
Operator: Your next question comes from the line of Greg Lewis with BDIG. Please go ahead.
Greg Lewis: Hey. Thank you. And thanks and good morning. And thanks for taking my questions. Hope everybody's doing well. I was hoping to get a little bit more color around the guidance around, you know, the revenue, i.e., you know, you mentioned throughout the call on the well intervention side about the strong backlog. Know, I guess, first on that the well intervention side, that that forty million delta, between the the the low and the high end. Is that largely associated just with open days on the Q5 or does it also include maybe some some startup time? Know, of of some of some of the the assets. And then on on the robotics, and and the SWA, I I don't think the SWA I think well, I'll let you say like, how should we be thinking about of the robotics and the SWA? How much of that is already, like, contracted on a maybe on a percentage base?
Brent Arriaga: Okay. Greg, I'll start off with the well intervention and pass it off to Scotty to wrap up the robotics in shallow water. But on the well intervention side, you know, once again, I think it's it's a good balance in in our guidance range between risk and reward opportunities. I think when you look at the the opportunities that we have there, it's really on on sort of project execution. We have good good solid contracts there and to the extent that we're able to execute at a high level, I think that'll be more of a margin driver than a top-line driver. I think that, you know, you talked about our contract transitions. We have three major transitions this year. One of them is completed already with the SH2. In early January transitioning to its new contract. We have the the Q7000, which we're you know, right now, it's estimated to start its contract towards the end of March. In Brazil. And then the SH1, which in the second half of the year will transition between Trident to Petrobras contract. And right now, we're assuming about a thirty-day. And so I think, once again, there's there's a combination there of risk and opportunity in those assessments. And then, you know, the one area of well intervention that's that is a little bit softer is that North Sea market. I think we're seeing right now, we're expecting lower utilization in that market. You know, once again, I think as as some of the information is digested from what happened there in the fourth quarter over there, there's a potential for more activity. So it would be really driven by utilization. And then I'll pass on to Scotty for the robotics in shallow water.
Scotty Sparks: So a good portion of the robotics vessels is already booked as as backlog. We've got good contracts activity in Asia Pacific. Over here for the Shield of Oyu along and then for the trenching markets in in the North Sea. We also have the T1400-1 going on a client-provided vessel and the T1400-2 going on a client-provided vessel from June in the Mediterranean. And the iPLOW is contracted to to go on a job in the Baltic Sea. So the the it's pretty much a flat year for robotics, but that's primarily because the CN Type has came off contracts. So there's quite a reduction there. Some of that's replaced by the the other trenches going to work. You have to remember that, you know, 2024 is the second highest leap of the year for robotics since 2000. So, you know, keeping a a red to be flat with an upside bias for trenching and robotics as we go forward is is a good state of play for us already. And and we are seeing high visibility in in the trenching and ROV markets. Shallow water, we still expect that to be quite a soft market this year. It should be an improvement over 2024. It is definitely a spot market. You know, clients call up. There's a lot of clients in flux at the moment with the Boomerang project properties being handed back. You know, these clients that have taken back those properties don't have departments set up for shallow water P and A, so they're starting to get their heads around what they've got going on. So we we should see an increase of work. I don't think it's gonna go back to 2023, but it should be better than 2024, but definitely still a a softer spot market.
Greg Lewis: Okay. That was super helpful. Thank you. And then and then I just had a question, you know, when think in your prepared remarks, you mentioned around you know, the opportunity around trenching. Hey. Maybe we potentially add a new unit. You know, I I guess you know, for for as as we think about you know, well intervention, it's kind of easy for us to kinda not easy, but you can kinda work through margins and what pricing is gonna be. You know, just I mean, is is it know, Scotty, I guess you're talking about robotics strengthening, you know, how clearly you last year was pretty tight, and it seems like that's gonna continue. Just as as we think about the ability maybe to push maybe we'll think about it on a margin progression, you know, as as we think about the ability to to to kinda push margins and and and add and add another unit, what what's kinda like a like a fair way to think about you know, margins trending. Yeah. I don't know whether you wanna talk about the next one or two years or or any kind of any kind of way we should be thinking about that. And and then I kind of in following up with wrapping, I guess, a bow on this. You know, what's it cost, and and how long does it take to add a TransUnion.
Scotty Sparks: K. So that's quite a lot of questions that's could shock you. Yeah. I'm sorry. That's okay. No. No. The rate rates are definitely improving in in trenching. Back in 2023, our baseline rate was about $100,000 a day. We're now bidding sort of twenty, thirty percent higher than that. And securing work and securing some sizeable chunks of work. Securing work for all of the trenches, which is very pleasing. We purchased the T1400-1, T1400-2 in the I cloud for approximately $13, $14 million. We've already had the return back on that, and we're seeing good utilization for those assets as we go forward. I will say we're bidding work the renewables market out to 2029 and 2030, and every year, there's a step increase for for those works. And like I say, we've already secured work into 2027. I expect to to secure more work shortly as well. So to obtain a new trench, there's two reeds. There's one or two trenches on the market like what we did with the T1400-1 and T1400-2. That we're gonna start negotiations and see if we can pick up one or two assets. If not, we'd have to go down the route of building another asset, which would be approximately $25 million of CapEx outlay and eighteen months to secure building a trencher. But we're seeing an increased market. I'll give you an idea for our bidding activities. From 2025 to 2030. At our high potential awards, you know, clients that come to us that we have good relationships with, we can already see $650 million of revenue based on trenching work alone and site clearance work alone. Out to 2030. See? Very healthy position for us.
Greg Lewis: Wow. Super helpful. Thanks for the time, guys.
Scotty Sparks: You're welcome. Thank you.
Operator: Again, if you would like to ask a question at this time, Your next question comes from the line of Josh Jayne with Daniel Energy Partners. Please go ahead.
Josh Jayne: Thanks. Good morning. First one, I wanted to just follow-up on was when we think about the outlook for the Q4 and the Q5, into the end of 2025, they're both contracted through the end of this year, but could you speak to the opportunities to contract them further out? Are there significant term opportunities out there to contract those vessels sort of well into 2026 and 2027, or is it too early to think about that?
Scotty Sparks: So the Q5000 is signed up with Shelf for two years with an option of a third year. Minimum contract days is 175 days each year. And we're also in discussions with another major that would take up the rest of the days on the Q5000. So the Q5000 for the next two to three years is in a very tight position. Q4000 is currently planned to be in Nigeria till Q2 of this year, and then come back to service the rest of the Gulf market. We have work already lined up with it with two or three of large-sized operators. It's a bit in flux because we've got operators in Nigeria that ask if we could hang around and complete some work. So there's discussions ongoing with two other majors outside of the the options that Exxon have. We're trying to work out a path of how much work do we take on in Nigeria compared to starting to lose some work over here by not having availability. So the the the queue market the queue based US market is very tight. The Q5000 secured. And then the other operators will have access to the Q4000. And we're in discussions with these two upper operators to have multiyear contracts as well.
Josh Jayne: Okay. So it so it does sound that like, that when the Q4 eventually comes back to the gulf, there are potential opportunities to term vessel out.
Scotty Sparks: Yes. For sure. Yeah. We we already have wells contracted that would take place in the last half of the year, and we're in discussions with majors for multiyear contracts and and some spot well work as well.
Josh Jayne: Okay. Thanks. And then I did just wanna follow-up one more time about the fifty million or the targeted twenty-five percent of free cash flow. It does seem to be a bit of a departure from how you guys have have thought about capital allocation. I know you've had a repurchase program in the past, but it does seem a bit more concrete and aggressive. Is that more just a a function of where you see the equity price today or do you think that the opportunity for Helix going forward is to sort of do both do both things, both return capital to shareholders and execute on M and A. I'm I'm just curious because it just it did seem like a little bit of a a step change with respect to how you're thinking about capital allocation.
Owen Kratz: Well, I'll start with Linda again. The step change for us is just the strength of our balance sheet right now. And the current equity price. So I I think it is time we have the financial capacity and a price that's working for us so that we plan to be more aggressive on the share repurchase. We've stated that there's a minimum of twenty-five percent because, as I said earlier, I think there's a high probability that there are M and A opportunities for us to the extent that we need the cash for the M and A. Oh, that that will be where we deploy it. Alternatively, if the M and A doesn't materialize or we don't require that amount of cash, then we'll increase the aggressiveness on share repurchase at these current equity prices.
Josh Jayne: Thanks. I'll turn it back.
Operator: Seeing as we do not have any more questions at this time, I will now turn the call back over to the management for closing remarks.
Erik Staffeldt: Thanks for joining us today. We very much appreciate your interest and participation and look forward to having you on our first quarter 2025 call in April. Thank you.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.